Operator: Good day everyone and welcome to today’s program. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during our Q&A session [Operator Instructions]. It is now my pleasure to turn the program over to David Waldman with Crescendo Communications. Please go ahead.
David Waldman: Thank you, Lindy. Good morning, and welcome to the conference call for Lightbridge’s 2016 First Quarter Business Update. Company’s news release was distributed after the market closed yesterday and could be viewed on the Investor Relations page of the Lightbridge website at ltbridge.com. If anyone has questions after the call, you may also contact Crescendo Communications Investor Relations firm for the company at 855-379-9900. Seth Grae, our Chief Executive Officer, will lead today’s call. In addition, the following executives are available to answer your questions; Linda Zwobota, Chief Financial Officer; Jim Malone, Chief Nuclear Fuel Development Officer, and Andrey Mushakov, Lightbridge’s Executive Vice President for International Nuclear Operations. Today’s presentation includes forward-looking statements about the company’s competitive position and product and service offerings. During the course of today’s call, words such as expect, anticipate, believe, and intend will be used in our discussion of goals or events in the future. This presentation is based on our current expectations and involves certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail on Lightbridge’s filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements whether as a result of new developments or otherwise. You can participate in today’s calls in two ways. First, you may submit questions for management in writing to ir@ltbridge.com, if you have already submitted a question we thank you. You can submit them at anytime during the prepared remarks or during the Q&A period. Second, after the prepared remarks, telephone lines will be open for live questions. Now here is Lightbridge’s CEO, Seth Grae. Please go ahead.
Seth Grae: Well, thank you very much David and good morning everybody. We have made significant progress in sharing strategic partnerships for fuel fabrication and manufacturing and we’ll make announcements during the remainder of this year that we believe that will have a positive impact on the stock price. As previously disclosed, we entered into a joint development agreement with AREVA to assist establishing a joint venture in 2016 to develop, manufacture and commercialize fuel assemblies based on Lightbridge’s next generation metallic nuclear fuel technology. We are on budget and on track executing on our business plan, including the joint development agreement with AREVA. AREVA is the largest nuclear company in the world, and it’s bringing tremendous resources to this project. It is important to note that the joint development agreement is an extensive binding contract with a highly detailed scope of work that covers steps that must be completed in order to form the joint venture company later this year. The JV company will complete the development, demonstration and regulatory licensing of the Lightbridge metallic fuel and then manufacture and sell our fuel to commercial nuclear power plants. For the agreed upon scope of work under the joint development agreement, AREVA is contributing a significant amount of in- engineering services that cover key critical path items that help us keep on track in our fuel development and commercialization program, while reducing Lightbridge’s capital requirements. AREVA has state-of-the-art test facilities from mechanical testing, seismic testing, mechanical load testing, flow testing and heat transfer testing that are required for regulatory licensing purposes. Having access to that kind of equipment and test facilities is extremely important from both a cost and schedule standpoint. We believe that this binding joint development agreement with AREVA, together with the earlier written expression of interest in our fuel from four major U.S. utilities to the U.S. Nuclear Regulatory Commission is evidence that the largest players in the nuclear power industry are embracing our fuel technology. With continuing support from these four utilities, and our recent partnership with AREVA under the joint development agreement, we are confident that we will have our first long-term fuel manufacturing arrangement in place, well ahead of our previously stated target of late 2017 to early 2018. We also entered into an initial services agreement with BWXT Nuclear Energy Inc. to evaluate the ability to fabricate and prepare a preliminary plan for fabrication of Lightbridge-designed, partial length nuclear fuel samples at BWXT facilities in the United States. We’re continuing to see interest internationally for our metallic nuclear fuel technology which is safer, increases power output and will improve the operating economics of existing reactors. We’ve also made other important announcements recently that brings us closer to the start of demonstration of our metallic fuel under commercial reactor operating conditions in the Halden reactor in Norway next year. In January, we announced that the Institute for Energy Technology or IFE which operates the Halden Research Reactor received formal regulatory approval from the Norwegian Radiation Protection Authority for all planned irradiation of our metallic fuel at the Halden reactor. This was the final regulatory approval in Norway required to begin testing of our advanced metallic fuel under commercial reactor operating conditions. The regulatory approval follows a safety report previously submitted by IFE to the Norwegian Radiation Protection Authority relating to irradiation test of Lightbridge-designed metallic fuel samples as well as the recently announced export license approval by the Norwegian Ministry of Foreign Affairs. The Norwegian Radiation Protection Authority noted the safety advantages of Lightbridge metallic fuel including much better thermal conductivity than the oxide fuel currently used in reactors, which contributes to significantly lower temperatures in the fuel and provides a safety benefit of reduced likelihood for a release of fission products should a cladding breach occurs. It’s important to note that the Halden reactor in Norway is located close to the Studsvik hot cell facility in Sweden, which makes it easier to transfer irradiated fuel samples from Halden to Sweden for examination at the Studsvik hot cell facility. Upon post-irradiation examination, we will have independent confirmation of the fuel performance results which will be shared with utilities and our fuel fabrication partners to support license applications with the U.S. Nuclear Regulatory Commission and nuclear regulators in other countries for use of the Lightbridge-designed metallic fuel in commercial reactors. Worldwide, there is a consensus to reduce CO2 emissions, as evidenced by the Paris agreement reached at the 21st Conference of Parties also known as COP21 in December. The Paris agreement commits virtually every country to reduce CO2 emission and the U.S. Clean Power Plan allows credit for new nuclear power plants and power uprates or increased efficiencies at existing reactors. We believe these credits or power uprates will provide further support for our fuel in the U.S. making it even more economically attractive to utilities. We designed our metallic fuel to increase the power output of reactors exactly meeting the goal of the Clean Power Plan and COP21. Our metallic fuel accomplishes the power uprate by increasing the power generated by the reactor every day the plant operates as well as by lengthening the fuel cycle, so the reactor is shut down for refueling fewer days per year. Any realistic plan to achieving global climate goals must include a significant increase in nuclear power. Lightbridge technology can facilitate a more rapid expansion of nuclear power via power uprates of both existing and new build reactor units. Our fuel also significantly enhances the economic chase for nuclear power. We are seeing increased interest for our fuel designs from reactor operators in the United States and around the world. We look forward to announcing additional partnerships and support for our next generation fuel technology from the global nuclear community in the near future. Now I’ll turn the call over to Lightbridge’s Chief Financial Officer, Linda Zwobota, she’ll summarize the company’s financial results for the quarter.
Linda Zwobota: Thank you, Seth. Turning to our results for the quarter ended March 31, 2016. Lightbridge’s net loss was $0.3 million, or a loss of $0.02 per share, on revenue of $0.2 million. In the same quarter of 2015, the net income was $0.1 million, or earnings per share of a penny per share, on revenue of $0.1 million. All of this revenue was generated from consulting services. Stock-based compensation was $0.2 million for the quarter ended March 31, 2016 compared to $0.1 million for the quarter ended March 31, 2015. Excluding the impact of warrant revaluation for the derivative warrant liability, net loss for the quarters ended March 31, 2016 and 2015 would have been $1.6 million and $1.1 million, respectively. Listeners can refer to the About Non-GAAP Financial Measures section in our earnings press release. For the first quarter ended March 31, 2016, the company’s cash flows used in operating activities were $1.3 million versus $1.0 million used in operating activities to the same period of 2015. Turning to our balance sheet, as of March 31, 2016, the company had approximately $1.1 million in cash, cash equivalents and restricted cash, and a negative working capital of $0.1 million. Stockholders’ deficiency was approximately $0.3 at March 31, 2016 compared with a deficiency of $1.5 million on December 31, 2015. Common shares outstanding at March 31, 2016 totaled 20,828,957. The primary sources of cash available to us presently are equity investments through our equity purchase agreement with Aspire Capital Partners, LLC, and our ATM agreement with MLV & Company LLC. We have no debt or debt credit lines and we have financed our operations to date through our consulting revenue and the sale of our common stock. We did not raise any capital in the first quarter of 2016 from our ATM financing agreement, and as of the date of this filing, we have raised approximately $1.7 million in 2016 through our equity purchase agreement with Aspire. The ATM program and equity purchase agreement with Aspire provide us with greater flexibility to raise the capital needed to further develop our nuclear fuel. When we do raise capital through these programs, it is being done very judiciously and opportunistically to minimize dilution. In the meantime, we are also focusing on our efforts of potential teaming agreement and other transactions with strategic partners that can help offset our capital requirements going forward. I would also like to emphasize, we are carefully managing G&A expenses and reducing corporate overhead where appropriate. Every facet of corporate operations have been examined, and where possible, renegotiated to trade expense and increase efficiencies. This concludes my summary, but I will be available for your questions during the next segment of today’s presentation. Seth, back to you.
Seth Grae: Thank you, Linda. We now have the right partners and regulatory approvals in place to commence demonstration of our fuel next year in a reactor under commercial operating conditions with important milestones coming up between now and then. We are on the cusp of our fuel technology gaining an important place in the nuclear industry given the significant economic benefits of our fuel for reactor operators. With Lightbridge metallic fuel, reactors can produce power at lower incremental cost than new-build combined cycle gas-fired power plants even at the historically low natural gas prices we are seeing today. Traditional nuclear cannot compete on price at these levels and we can generate base load energy without the CO2 emissions or price volatility of natural gas. In addition to the financial benefits, our fuel provides dramatic safety advantages as evidenced by about 1,000 degree Celsius reduction in fuel operating temperature compared to conventional uranium dioxide pellet fuel. Not only does our fuel operate at lower temperature, but in a design basis accident it does not run the risk of explosive hydrogen gas generation. Assuming just modest penetration in the U.S. market, we have the potential to generate hundreds of millions of dollars annually in high margin royalty fees upon successful commercialization. Deploying our nuclear fuel designs into the large and growing global market will further enhance this revenue stream. Now let’s open the call to your questions. In addition to asking live questions by telephone, you can also submit questions in writing to ir@ltbridge.com. We will pause while the operator Lindy reviews the procedure for asking live questions.
Operator: [Operator Instructions].
Seth Grae: So while we’re waiting for the live questions, David Waldman who is with Crescendo Communications which handles our Investor Relations will proceed with questions sent in by email. David?
David Waldman: Thank you, Seth. Our first question is, are there any federal regulatory prohibitions or rules that would have to be changed to enable the use of Lightbridge’s metallic fuel at commercial U.S. reactors related to the enrichment levels? If so, are there any other efforts underway implement these? And are the enrichment levels viewed as a major challenge?
Seth Grae: Right, and Jim Malone who is our Chief Nuclear Fuel Development Officer has participated in meetings in the U.S. government, at the International Atomic Energy Agency and with the major industry players on this topic. Jim?
James Malone: The enrichment level in and of itself is not a problem. At a meeting at the International Atomic Energy Agency in November of last year, the consensus coming from the meeting was that there was no problem with enrichment below 20 way percent which includes our fuel, the reason being that it’s already been identified that that particular level of enrichment was certified as being optimal for non-proliferation purposes, so the IAEA is very comfortable anything below that. Other than that, when you consider the technical aspects of the fuel, the number of uranium 235 atoms per cubic centimeter of fuel is not very different for our fuel compared to 5 way percent fuel with uranium dioxide. So the initial thought about enrichment could really be more correctly directed towards something referred to as reactivity, and the reactivity difference between the fuel is minimal, ours is slightly higher to allow us to go further and produce more power.
David Waldman: Great. Thank you. Our next question, are there enhanced disposal or storage concerns for Lightbridge’s metallic fuel at the end of its life?
James Malone: Yes, me again. There are really no showstoppers. The fuel may have to cool for another year or soak in the water before being transferred to dry spent fuel storage. Spent fuel benders are aware of this, can work with us. AREVA, as a matter of fact, is one of the larger spent fuel storage suppliers in the world and they don’t see any problem with it. The underlying technical reason is the decay heat from fission products is slightly higher in our fuel because the fuel works harder to produce more power during its operating life.
David Waldman: Great. Thank you. The next question is, could you explain how this deal with AREVA is different than the earlier agreement the company had back in 2009?
Seth Grae: Yeah and Andrey Mushakov, our Executive Vice President for International Nuclear Operations will address the difference between the two agreements, I’ll just preface it by saying we only announced the concept of metallic fuel for power uprates in 2010. So obviously what happened in 2009 is quite different.
Andrey Mushakov: Yes, sure. The agreements announced back in 2009 was a consultant agreement whereby AREVA hired us to perform some consultant services relating to thorium fuel cycle in various light water reactors both existing as well as new-build and the various set of fuel cycle conditions including both one fuel cycle processing as well as there was -- relating to how this would look at thorium fuel cycle would look like if the spent fuel was processed? So that agreement lasted for a couple of years during which time we completed, agreed upon scope of work and got paid total of $0.5 million if I recall correctly, during that timeframe. And basically at the end of the project represented the results of one of the nuclear conferences that was held in Europe I believe it was in 2011 something like that. So that agreement was very limited in its scope, mainly related to thorium fuel cycle that -- were valid at the time. And at the end of that agreement basically there was no additional follow on work discussion etcetera. And as Seth pointed out, we have made our announcement about the metallic fuel technology for power uprates and longer fuel cycle in June or September of 2010 which was after we entered into the consultant agreement with AREVA relating to a thorium fuel cycle. So the agreement that was signed with AREVA in March of this year, a joint development agreement specifically relates to our metallic fuel for power uprates longer fuel cycle, number one; number two, it’s specifically related to foreman the work and critical path items that need to be concluded on our fuel development project as well as anything we need to complete to create a joint venture company. Later this year, that would finish the development, regulatory licensing and then commercialize our metallic fuel the power uprate and longer fuel cycles. So it’s a vastly different agreement compared to 2009 agreement.
David Waldman: Great. Thank you. Our next question is, if Lightbridge could be compared to a biotech going through the clinical stages of FDA approval, what would be the closest analogy to where Lightbridge is at?
Seth Grae: Well we’re not biotech experts but I’ll say when you look at the three phases of clinical trial for devices or drug in FDA testing, I’d say we’re late stage 2, heading into stage 3, before the testing that will be done at the reactor in Norway will be under commercial reactor conditions, prototypical pressurized water reactor conditions and then the test assemblies that will be conducted starting as early as 2020, pressurized water reactors in the U.S. will be actual power reactors powering cities. So, I’d tag it as very late stage to heading into stage 3 next year. I’d also point out a difference which is one of the reasons why FDA states three testing has. Often up to thousands of people using a drug in studies is everyone’s body chemistry is a little different, interactions with different drugs that people are taking is different or peoples’ allergies can be different, and in the core of a reactor that doesn’t happen. So as we prove out the fuel in a reactor core, you don’t need to go through quite an extensive period as you do with the FDA. So we actually have a shorter timeframe than the FDA equivalent of late stage 2 heading into stage 3, in fact, next year when the fuel in the reactor in Norway will very quickly start getting confirming data.
Andrey Mushakov: One other thing I want to mention also the difference in risk profiles has been nuclear phases and biotech phases, in a biotech industry, my understanding is [indiscernible] actually during phase 3 because that’s where most of the risk is whereas the opposite most of the risk comes upfront. And once you get into commercial reactor as lead test assemblies, by that time the risk has been pretty much mitigated or we have very little risk left because utilities as well as regulatory authorities wouldn’t allow lead test assemblies in a commercial reactor if there were any substantial amount of technical risk or any other risk of failure in those reactors.
David Waldman: Great. Thank you very much. Our next question, for AREVA or BWXT can their in-kind services be quantified? Can we put approximate dollar value on them?
Andrey Mushakov: Obviously -- I can take that, obviously for confidentiality and competitive reasons, we can’t give specific figure, but I would just say that this scope that we have with our joint development agreement is quite substantial. I think we mentioned we are talking about approximately 100 tasks on that scope and AREVA is on the lead I would say three quarters of that scope, and they have approximately over 2,000 probably people who are in this project at this time. So it’s pretty substantial, we are not talking about a small amount of in-kind contribution so our view is [indiscernible] scope.
David Waldman: Great. Thank you. Our next question is some companies put out key performance indicators to show progress, what are the key milestones on the horizon against which Lightbridge should be measured going forward?
Seth Grae: Well our key milestones are looked for will be an announcement in the next couple of months announcing which company we’ll fabricate the fuel samples that we’ll go into Halden reactor next year. The biggest milestone coming up would be later this year the announcement of the joint venture with AREVA. I’d also say that in the interim it’s very likely that we’ll have some intellectual property announcements as our U.S. patents was granted and the major patents will be coming in from around the world. And in our consulting business, we expect to have some news too in the coming weeks or months.
David Waldman: Thank you. Our next question is can you elaborate on stock sales at the current prices? Are there lower cost alternatives for example, could low cost debt be raised by potential partners?
Seth Grae: I don’t think -- we have been offered debt instruments many times by many parties in the history of this company and we have never accepted any debt financing, we never had debt in the history of the company. Half the capital that we meet in has been merged in our own consulting work that we’ve done raising our own funding, the other half has been equity raises. And a company this small, the terms of debt are not acceptable for many reasons, including that the only collateral that we have to securitize debt is our intellectual property and we’re just not going to risk that. Lightbridge invented this fuel technology, the design of the technology, the means of manufacturing the fuel, we patented the design of it, we own all the intellectual property rights, nobody else does, licensing that intellectual property rights, we believe will bring great value to our investors and we’re just not prepared to risk that on what could potentially be slightly better terms of debt financing, but frankly, when you look at the terms of debt financing we’ve been offered, the terms aren’t so great.
David Waldman: Great. Thank you. Our next question is on the IR section of the website, it states that, if 25% of the American nuclear market alone adopts the fuel technology, then the company could be earning $150 million to $200 million per year in royalties. For those investors who aren’t familiar with the [indiscernible] of the nuclear industry, can you provide a breakdown of how these projections are calculated?
Andrey Mushakov: I can take that. I think basically you look at the U.S. market roughly from the reactor in the U.S. and then if you look at the projections of what it’s going to look like by ‘25 2030 basically when our fuel becomes commercially available and will be deployed in multiple reactor units in the U.S. and elsewhere, you look at a quarter of that market which roughly is 25 to 30 plants, then you look at 8% royalty which is based on the incremental revenue that utilities will be generating by switching to our fuel and basically that’s roughly 4-5 million to 6 million per reactor per year. And then you look at basically escalation in terms of electricity prices as well as escalation of what the fuel is going to cost going forward and that’s how you get to roughly to those numbers that we show.
Seth Grae: And those numbers are consistent with the independent report done by Siemens on the value proposition of Lightbridge fuel that’s on the Investor Relations portion of our website.
David Waldman: And our next question, in the last conference call question was asked if dividends would be distributed in the future if the share prices that time when we’re generating cash flow is well enough for it to warrant share buybacks, would that be on the table instead of dividends?
Seth Grae: Well those would be good problems to have to deal with those things. We will do what is in the best interest of the stockholders of the company. I don’t think the company is planning -- we never talked at the Board of Directors level a stock buyback. We certainly never had the cash to do that. But when we do, I think it’s more like that that would be dividends, that is how the funds would be distributed to the stockholders, but that is something we’ll come to.
David Waldman: Great. It seemed that’s all of our questions have come in electronically today, so thank you very much for answering. I’ll turn it back to management.
Seth Grae : Lindy, do you have any questions coming in or poll once by phone, any more live questions by phone?
Operator: [Operator Instructions]. We do have a question from Matt Paolucci with Darvin Asset Management. Please go ahead. Your line is open.
Matt Paolucci: Hi, thanks for taking the question. What steps is or are Lightbridge taking to market the story on Lightbridge? We hear about climate change every week, it seems like it’s not more frequently, how do we get the Lightbridge story out to more people to gain exposure to the – I don’t have a nuclear -- which I think most of the nuclear -- is aware, I’m not sure, but how do we get it out to more people so they know the story and know the importance?
Seth Grae: Well thanks for that question, Matt. Of course we’ll be continuing our IR efforts and probably expanding those efforts. There is certainly a bit of outsized amount of media around our company, as little as Lightbridge. And if you are going to Google news and search for Lightbridge or Lightbridge nuclear, you’ll find just in the last couple of months a fairly large number of stories including frankly a fantastic story by Rod Adams on atomic insights that I comment to everybody, and Rod Adams is a very well known figure in the nuclear power industry, very well respected nuclear engineer who did very extensive article on synatomic insights about the last month.
Matt Paolucci: Yep, I caught that one.
Seth Grae: I also think that with some, what we’ll expect is -- part of the answer the key performance metric is coming up, the key performance indicators around this news including patents, new consulting or certainly the JV with AREVA, there will be a lot more attention. And AREVA is the largest nuclear company in the world when we have a joint venture with them later this year, we’re going to have a significantly ramped up public relations, it won’t just be us, it will be AREVA too, because that will be a combination of something unique that no one’s ever been able to do before for new nuclear field. We already have utilities, very publicly or particularly in their letter to the Nuclear Regulatory Commission last year, saying that they have very strong interest in licensing and using these fuels. So we have customers that if we can bring this fuel to market or saying we want those benefits, well with AREVA, we have the world’s largest supplier across the U.S., across Europe, across Asia, China, the whole world being able to manufacture it and bring it to market to them. So the combination of the customers and suppliers when we have that later this year, I think will lead to a substantial public relations effort. We also are getting a little more involved politically not in terms of any lobbying or anything, we don’t do that. But we are working very closely with the U.S. government, governments of other countries where we are working and that will also I think lead to some good messaging. I think there might even be some messaging when the president is in Vietnam later this month or early next month with some of the work we’re doing there, which is very important for nuclear safety. And finally I’ll mention that we’re participating in many key conferences, Jim Malone, a few weeks ago presented Lightbridge world nuclear fuel cycle which is the world’s premier new nuclear fuel conference of the year that was held in Abu Dhabi. We’ve been presenting at other key conferences including a Third Way which is a very important think tank in Washington D.C. for energy issues, or climate issues and we participate and they had a -- at their Nuclear Energy Summit couple months ago that Jim and I participated in. So we will continue to do this Matt, and we’ll continue particularly around high impact news items that we think we have a few coming up between now and in the end of the year.
Matt Paolucci: Thank you, Seth. Can I add just one other question, if you consider this race to nuclear 2.0 or 3.0, can you comment on just the fact that if you look at MSRs or molten salt or any kind of other nuclear technologies that is not burning anything like nuclear – where do we sit in that race? May be a comment there from an installed base, we have an installed base of 100 reactors that we can implement the fuel. Are there any other technologies that are anywhere closer than Lightbridge?
Seth Grae: No. We have an installed base and we have 100 reactors in this country, it’s actually 99 operating now but the one in Watts Bar 2 will open in the next few weeks will be in the 100, and then there’s four under construction two in South Carolina and two in Georgia that will follow Watts Bar 2 that will bring us to 104. Some of the other plants might close in the couple of years so probably back to about 100, but that’s out of 440 in the world. And our fuel can be used in just about all of them, and hundreds more on order and are being built and our fuel can be used in virtually all of those as well. The other technologies you talk about we list a slide on the presentation that you’ll see on our website at the bottom left of the homepage at the ltbridge.com website and also on the Investor Relations page and Events page, there is a slide there the advanced nuclear industry which is taken exactly from Third Way, from their materials that has a map of the U.S. with a lot of dots around the map and identifying each dot by colors to which project it is to new types of reactor under development. The only one on there that is not a new type of reactor is Lightbridge, an advanced nuclear fuel for existing or new reactors. So we will be the first to market. We will be the first to market by a very wide margin and it will be many, many decades before a new type of organic reactor, be it MSRs or other can be designed, demonstrated, licensed and deployed at scale to make any difference to our energy and environmental climate needs that is many, many decades in the future. And I think that to achieve that energy plus climate environmental goals, there has to be an increase in nuclear power, but there won’t be with current nuclear because of economic constraints and safety concerns, but as we prove out Lightbridge fuel addressing both the economic and safety issues, I think you will see an increase in nuclear power that will let the world meet its climate energy goals, and I think our technology will be part of that.
Matt Paolucci: Thank you.
Seth Grae: Thank you, Matt. And Lindy, any other questions?
Operator: We do have more questions. We’ll go next to Robert Turkell, Private Investor. Please go ahead. Your line is open.
Robert Turkell: On the website, there are pictures of fuel rods and I was -- just wanted to ask has the company actually fuel rods or simply designed for them?
Seth Grae: The company designs fuel rods and working with our partners produces fuel rods in our partners’ facilities. So working with the Elektrostal plant outside Moscow, we produce our fuel rods and those are some of the ones you see photos of on the website. And then tested them in the IR heat reactor at the Kurchatov Institute in Moscow and outer reactor testing as well under thermal-hydraulic testing, high pressure, high temperature but not in a reactor. So in and out of reactor testing and those results help lead to the phase we’re in now of manufactured testing in the West. I think that we finished that work and got the results just in time, just before Russia’s -- and work in [indiscernible] and problems with Ukraine and relations between the U.S. and Russia deteriorating, we couldn’t have done that work today that we did at the time, but we did. Other fuel rods that you see on the site, particularly the ones with four lobes, the one with three lobes are Russian ER type reactors which are very common in the world and a good market for us. The ones with four lobes are for western type pressurized water reactors like the ones in the U.S. and Europe, those were fabricated by IFE on the Institute for Energy Technology in Norway just in the last few months. And those were made to prepare for the testing that will start next year where they’re using those, they don’t have any enrichment materials and they don’t have any – material in them. Those are made of aluminum, or zirconium to demonstrate gripping it, handling it with their crane, they’re all ready dealing with moving around those rods so when they get the real ones next year. And at BWXT formerly known as the Babcock & Wilcox company and CNL, Canadian Nuclear Laboratories, formerly known as ACEL, Chalk River Laboratories, they are also working on fabrication plans for supplying fuel to Norway for that reactor. And AREVA obviously is working on the commercial fuel for the commercial reactor starting with the lead test assemblies for the commercial reactors of the U.S. So the answer the photos you see on the site, the one with the three lobes were made in the Elektrostal plants just outside Moscow and the ones with the four lobes were made at IFE at Halden in Norway.
Robert Turkell: Thank you.
Seth Grae: You’re welcome.
Operator: And our next question comes from Tom [indiscernible] Capital. Please go ahead. Your line is open.
Unidentified Analyst: Good morning.
Seth Grae: Good morning.
Unidentified Analyst: Given the, what seems to be growing interest globally particularly in the emerging economies for nuclear fuel, not fuel, but nuclear power, can you give us a sense on the consulting side of your business what is the likelihood that you can see a upturn in demand for your consulting services?
Seth Grae: We started the consulting business because we thought there was a need for a business in the world that did not exist which is advise governments of countries that never had nuclear power, how to get nuclear power. It’s been over 30 years since the country never had reactors before developed a nuclear power program, with that being China over 30 years ago. And we approached the United Arab Emirates and we’re hired and we wrote the whole plan for nuclear power for U.A.E called Roadmap and its follow up phase is called Quick-Start and others are still providing consulting service in the U.A.E. Since then, and partly with the help of recommendation from officials in the U.A.E we have done for Kuwait, we have done work for six countries in the region under the Gulf Cooperation Council. We have also done work in Lloyd’s Register in the UK – in South Korea, we are doing some work in Vietnam, and we are doing bits of work in China and in Japan and we are doing a bit of work now in the U.S. and we’ve done some advisory work for utilities in the U.S. I don’t think we’re going to see an opportunity like the UAE for some time for two reasons; one is that since Fukushima, countries are taking pauses, much slower having a lot of delays in their announced plans for nuclear power. I think we’ll pick up new work but just not at the level of a country launching that quickly into nuclear power as the U.A.E. did. It’s a great credit to the U.A.E just how well they’ve been able to handle their program and stick to all their original goals despite such trying times in the market, and they have done a fantastic job. Secondly, since we invented a business that no longer existed, our nature [indiscernible] others have entered the business. And there are big companies and small claiming to provide similar kinds of services and some of them pick up some of the work. So the main reason we wanted to do consulting work is to generate revenue to offset the cost of developing – and that’s been very successful. We’ve brought in over $55 million of consulting revenue at more than 40% gross margin overall probably over 45% at this point. But, I’d be surprised if we get another contract in the next couple of years as good as those early contracts in the U.A.E., even though we will get new contracts just that these countries have been very deliberate, very careful and very slow.
Unidentified Analyst : Thank you.
Seth Grae: Thanks.
Operator: And our next question comes from John McMurray with Ace Capital. Please go ahead. Your line is open.
John McMurray: Hey guys.
Seth Grae: Hello.
John McMurray: So I have a question, when you announced your fuel rods back in 2007, was that right?
Seth Grae: 2010, for the metallic fuel power uprate.
John McMurray: You had also announce that you would be doing some work with the Advanced Test Reactor, is that correct?
Seth Grae: Correct.
John McMurray: What happened there?
Seth Grae: Well, let me ask Jim Malone to take that.
James Malone: The ATR is a great reactor, a lot of capability, lot of demand. It is basically in place to support the Navy and you run a risk at ATR of basically having your experiment remove from reactor from time to time because the Navy wants specific work done that preempts the access to the reactor. Much larger concern arose though because the Department of Energy, the owner of the lab and the reactor concluded that there need to be a change made to the internals of the reactor due to their age, called core internal change out that will start in 2018 and will require about 2-2.5 years. So that would create an untenable delay from our perspective so we chose not to proceed with the ATR work.
John McMurray: So was there any work done there at all?
Seth Grae: No.
John McMurray: Nothing was done?
Seth Grae: Well not in that reactor, no, we worked with the people at Idaho Labs.
Andrey Mushakov: There was reparatory work that was performed to ensure that they never – the experiment design, forming the electronic calculations, electronic modeling to ensure that they could accommodate our fuel samples in one of the irrigation rigs. So that work was pretty much completed. The issue that Jim pointed out is the extended reactor shutdown was interfered with our schedule and of cost several years of – number one; and then number two, the fuel samples that we were playing to -- international labs was supposed to come from Russia and when as pointed out earlier, due to geopolitical tensions really started to happen between the U.S. and the Russia and in 2014 over Ukraine we decided to pull out of Russia and rely on Russia as a fuel sample supplier for our project because of the geopolitical tensions really could have caused a tremendous amount of delay with fabrication and supply of the sample.
Seth Grae: John, we have always have many options in the company to pursue different paths and we are looking at different reactors. In the ATR, the events test reactor in Idaho Jim explained due to U.S. government work, particularly Navy work just wouldn’t have turned out to be feasible to get our work done in our timescale in that reactor that probably be or certainly be very large delays, with what the Navy was doing with the reactor. The VVER[ph] reactor in Russia at – which would have been used perhaps in parallel with the Advanced Test Reactor just was not feasible even though we felt we could get into that reactor given the Russia-U.S. political situation to believe that we could run for several years in Russia uninterrupted very smoothly, that didn’t seem like something feasible in other reactor, was very good and there was no other work being done committing to the reactor like the ATR in Idaho. And the National Research Universal reactor in Canada at Chalk River and Ottawa was also a very good reactor for the testing that we had looked into, but the Canadian government decided to extend the license of that reactor only into 2018 not long enough to finish all of the test that we wanted to get done. So, of these four reactors, the Halden reactor in Norway is the best. It’s perfect for what we need to do. It also has a very good location, not just in a very politically stable country in Europe to which the U.S. has excellent relations and will for the next several years undoubtedly, but also being right next to another very stable country, Sweden with the Studsvik hot cells for the post-irradiation examination. So having all that geographically close to each other is similar to what we liked in Canada, where they’re still looking into making fuel samples but having the reactor and post-irradiation exam near each other is very good Norway and Sweden -- what we are doing now going forward. And also I’ll mention the Halden reactor is where many leading U.S. entities including the Nuclear Regulatory Commission itself, GE, Westinghouse do much of their testing. And the Studsvik’s facility in Sweden is where they do their post-irradiation examination. So we’re following exactly the same path, the same facilities that the NRC is used to see for the biggest companies in the U.S. industry.
John McMurray: Okay. And the testing that’s supposed to be done in Norway, you are to develop the fuel rods yourself or in conjunction or in partnership with others?
Seth Grae: We’ve designed the fuel rods…
John McMurray: Not design, but manufacture.
Seth Grae: Right, we’re under contract with BWXT and with Canadian Nuclear Labs to manufacture them. And in next couple of months we’ll announce which one is manufacturing them for the test for next year.
John McMurray: I think it’s confusing because you called them partners, are there, may be they are, are they partners in the sense that they are sharing the cost of manufacturing of the fuel rod or is it just the vendor that you’re paying?
Andrey Mushakov: Well basically we can take advantage of the existing sellers, because for example, at CNL, they have an existing fuel protection facility that is licensed to handle enriched uranium, it’s licensed to handle enrichment levels that we need. It also has most of the equipment -- fabrication equipment that we need. So in a sense, they can take advantage of those existing facilities so we wouldn’t have to incur additional costs to procure and install manufacturing equipment, number one; number two, we don’t have to start from scratch licensing at site and building a facility etcetera. So there are a lot of costs and contributions that those partners – basically they have given us at no cost, we are just paying for an incremental cost associated with the actual fabrication of our fuel samples.
Seth Grae: And AREVA is much of a partner, they’re handling the lion share in-kind of our work with them and we do intend before the end of the year to announce the formation of a new joint venture company with AREVA, as a partner in the joint venture company for manufacturing the commercial products, for commercial reactors.
John McMurray: But that’s the manufacture of the commercial…
Seth Grae: Correct.
John McMurray: Not the let’s call it experimental?
Seth Grae: Correct.
John McMurray: Okay. So going back to CNL, so they are simply providing you the facility, or do you have to pay for the production for the fuel rod?
Seth Grae: Correct, but they’re providing the facility --
John McMurray: Is a large part…
Seth Grae: It’s something… that facility is worth a lot more than the market cap of our company.
John McMurray: I’m sure it is. And what do you suppose the cost is for the manufacturing, what will be the cost on your end for the test reactor in Norway, just to produce the fuel rod? And have you broken down the cost so everyone can see them?
Andrey Mushakov: Well at this point, as Seth pointed out, those two entities are putting together their cost and schedule -- we have our own internal cost that we have put together internally based on our understanding what it would take to manufacture those samples. Obviously we don’t want to disclose those publicly, because that’s going to hurt the fabrication plans that those plants are putting together underprice or overprice certain things at this point. So once we have an answer from those two entities then we make that determination of which one is going to ultimately be the fuel sample manufacturing and supplier, and that we are going to publicly disclose what those numbers are. But at this point, we have our internal cost base that we have included in our overall LTA program cost estimate between now and when lead test assemblies are put in commercial reactor.
John McMurray: I don’t want to hijack this call at all, but your stock is $0.45, you have $1 million in cash, where do you expect to find the money to produce the fuel rod?
Seth Grae: Well first of all, as we released in the filings yesterday and on the call today, we have been drawing down on our equity line with Aspire Capital of Chicago which is $10 million line. So the lion share of that is still available to us. And at the right time, we will raise capital which we’ve done three times in the past in registered direct offering and we -- capital at the right time and we also will be continuing our consulting revenue as well which is a portion of what we need. But the combination of our equity lines from Aspire our own revenue and at the right time capital raise will be all we need. We also expect when we get to the joint venture with AREVA that it will be a transformative time for this company later this year. Things will be very different when we’re partnered with the largest company in the world in the nuclear power industry, the largest manufacturer and supplier of nuclear fuel in the world to make our product and we are expecting, as we said on the earlier call about investor relations and public relations, quite a lot of interesting activity around that and perhaps erase after that time. But also with that, perhaps with others we expect to have some strategic opportunities in this industry too as we need -- achievement of that goal.
John McMurray: Can I ask one last follow up?
Seth Grae: Let me just say one last thing, then you ask your follow up, which is as we reported in the Q today, we actually had more cash of this past quarter than we did at the end of the year. Our cash balance has actually been increasing. So using our own revenue and the cash in the equity line with Aspire capital, our cash balances have been fine. Go ahead.
John McMurray: I actually think this is illuminating for everyone listening, because it’s often we talk about the general but we don’t really speak about the specific with respect to the company. And I think it’s helpful, but – so when you talk about a joint venture with AREVA for the commercialization of the fuel rod, it seems like putting the cart before the horse when we don’t even have a fuel rod for testing. I just don’t quite understand the chronology, if you could just explain that to me.
Seth Grae: Well first of all, we and AREVA have no doubt that we can manufacture fuel rods for testing, it’s the question about where did the photos in our Investor presentation come from. We have made fuel rods for testing. They really were in the reactor in Russia. Those results did get us with AREVA and with the utilities and other partners where we are now. Our patent really did issue, which has to be based on the fact that this is something that can be reduced to practice that we can manufacture this fuel, which is something that we already did. So no, it’s not putting the cart before the horse, and when you see four utilities that generate half the nuclear power in the United States which is the largest market in the world for nuclear power, it lies in the NRC if their intent to buy the license is next year to use the fuel commercial reactors in the U.S. as early as 2020. It’s not early to have a joint venture this year, it’s actually about a year earlier than our original plan. But it makes a lot of sense, when you have customers that actually want to buy it.
John McMurray: Sure. But why not have a joint venture with them to produce the fuel rods for Norway? In other words, why not…
Seth Grae: AREVA is a commercial nuclear fuel manufacturer, I’m sure they could have the capacity to make test samples. But we have started Canadian nuclear labs and BWXT for the testing in Norway before we were at this point with AREVA. And in fact, there was in a sense competition to AREVA there were other large fuel fabricators as well but we’re now under an exclusivity until we enter into the joint venture or later this year with AREVA, because we think that this is the best fit. And they are working the best with us, but there are others too. So it’s one thing to do the testing and get that data to the NRC with the utilities and licensing and it’s another thing to make commercial fuel for reactors globally, and particularly for the U.S. pressurized water reactors. They don’t have to be made by the same company.
John McMurray: Okay. Thank you very much, and good luck.
Seth Grae: Thank you. Lindy any other questions live by phone?
Operator: We have no further questions at this time.
Seth Grae: And David, any other email questions?
David Waldman: We do. We have one final question by email, are there any Lightbridge projects or plans underway to return to thorium-fuel some day, possibly after the metallic fuel is fielded?
Seth Grae: We invented and patented the thorium-fuel. We did some testing of it in Russia and technically it went very well. And we were supported by the U.S. and Russian governments in particular and its funding from the U.S. government, particularly looking into disposing of weapon grade plutonium in Russia using plutonium from Russia’s nuclear warhead to eliminate it in our fuel in Russian reactors. And also, we had quite a bit of interest from companies in the industry that liked the advantages of thorium fuel for producing lower volumes of spent fuel per unit of electricity generated of reduced long-term radio toxicity of the fuel, enhanced proliferation resistance. We actually get those benefits in our metallic fuel too, some of them were further enhanced with thorium and we had quite a bit of those benefits with the metallic fuel. But what happened with Fukushima and their dramatically enhanced focus in the industry on safety, and what happened in the collapse of natural gas prices and energy and commodity prices in general and the strong focus on economics to the point that some nuclear reactors are closing in the face of competition from natural gas. The only thing the utilities are focusing on now that they are willing to pay for is improving the safety and the economics, that’s it. That’s not thorium. So we were able to develop this metallic fuel to answer the call on economics and safety. And we think it’s the only thing that can. We certainly not seen or heard of anything else that possibly could and that’s why we’re focusing on that because that’s what our customers are willing to pay for around the world in a very large and growing industry. As for the thorium fuel, when and if governments return to supporting fuel for plutonium disposition for the other advantages of thorium, we stand ready to provide that, but had we just stopped with thorium fuel, we would have no market for anything now and with the fuel that we invented with the metallic fuel, we think we are going to have a very significant play in the nuclear power industry.
David Waldman: Well that concludes our questions by email. So I’ll turn it back over to you, Seth.
Seth Grae: Well and thank you, David and thank you Lindy for acting as operators. Thank you everybody for participating on this call. I think we’ve had more questions today than we’ve had on any previous call, and every one of them excellent questions. I’d like to thank Lightbridge’s shareholders it’s a very challenging market and we were talking about the stock price at the beginning of my remark and in the Q&A and we expect to be addressing that through announcements that we’ll have coming up with the progress that we pointed to on this call. Given all our progress and major milestones we expect to reach, over the coming months and over the next two years, we’re confident that the markets will begin to recognize the tremendous earning power Lightbridge has a fuel technology licensing company. I’d like to thank you everybody. We look forward to speaking with you again soon. We thank our investors, we’ll have our Annual Meeting of the Stockholders next week for those of you can make it. We look forward to giving you an update during our next quarterly call and as we announce some – some new announcements we expect before then. And in the meantime, our lines are always open at ir@ltbridge.com and 1-855-379-9900. Thank you and good bye.
Operator: This does conclude today’s program. You may disconnect at this time. Thank you and have a great day.